Operator: Good morning, ladies and gentlemen, and welcome to the Hamilton Lane Fiscal Third Quarter 2025 Earnings Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct the question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, February 4, 2025. I would now like to turn the conference over to John Oh, Head of Shareholder Relations. Go ahead.
John Oh : Thank you, Joanna. Good morning, and welcome to the Hamilton Lane Q3 fiscal 2025 earnings call. Today, I will be joined by Erik Hirsch, Co-Chief Executive Officer; and Jeff Armbrister, Chief Financial Officer. Earlier this morning, we issued a press release and slide presentation, which are available on our website. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements. Forward-looking statements discuss our current expectations and projections relating to our financial position, results of operations, plans, objectives, future performance and business. These forward-looking statements do not guarantee future events or performance and are subject to risks and uncertainties that may cause our actual results to differ materially from those projected. For a discussion of these risks, please review the cautionary statements and risk factors included in the Hamilton Lane fiscal 2024 10-K and subsequent reports we file with the SEC. These forward-looking statements are made only as of today, and, except as required, we undertake no obligation to update or revise any of them. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the Shareholders section of the Hamilton Lane website. Our detailed financial results will be made available when our 10-Q is filed. Please note that nothing on this call represents an offer to sell or a solicitation of an offer to purchase interest in any of Hamilton Lane's products. Let's start with the highlights. Year-to-date through the third quarter of fiscal 2025, our management and advisory fee revenue grew by 18%, while our fee-related earnings grew by 21% versus the prior year period. This translated into GAAP EPS of $4.15 based on $160 million -- excuse me, $167 million of GAAP net income, and non-GAAP EPS of $3.82 based on $208 million of adjusted net income. We have also declared a dividend of $0.49 per share this quarter, which keeps us on track for the 10% increase over last fiscal year, equating to the targeted $1.96 per share for fiscal year 2025. With that, I'll now turn the call over to Erik.
Erik Hirsch : Thank you, John, and good morning, everyone. Another very strong quarter for us. But before I cover the results, I'm going to spend a moment on culture. At Hamilton Lane, we talk a lot about culture. Why? Because we believe having a culture is essential to creating a successful firm. I find firms that never talk about culture either don't have one, or have one that isn't worth talking about. To be clear, we don't believe culture to be singular, nor do we believe there is a set recipe for success. But we do believe that creating a culture and maintaining it takes real work and focus at every level of the firm. So it is affirming when that culture is honored. I am pleased to share that, once again, Hamilton Lane has been recognized as a Best Place to Work in Money Management by Pension & Investments for the 13th consecutive year. The firm has been recognized every year since the award's creation in 2012. Notably, only one of five firms to receive the special honor and the only firm in all of private markets to achieve this distinction. So you ask as a shareholder, why do I care? Two reasons. One, our clients care. They want to associate with an organization they can be proud to call their partner and to work with people who love what they do. Two, our assets are our people. Attracting and retaining talent is essential to our business. Our culture and awards like this help us attract top talent and continue to expand our geographic footprint around the globe. Juan and I are extremely proud and thankful for all the Hamilton Laners who come to work every day serving our clients and continuing to build a tremendous firm. Let's move on now to the results from the quarter, and I'll start with our total asset footprint. This stood at $956 billion and represents a 6% increase to our footprint year-over-year. AUM stood at $135 billion at quarter end and grew $15 billion or 12% compared to prior year period. The growth came from both our specialized funds and customized separate accounts. AUA was up $38 billion or 5% year-over-year, primarily the result of market value growth and the addition of a variety of technology solutions and back-office mandates. Turning now to fee-earning AUM. We produced another strong quarter of growth, largely driven by our specialized fund platform, where we are adding new product lines and expanding existing ones. Our total fee-earning AUM stood at approximately $71 billion and grew $7.9 billion or 13% relative to the prior year period. Taken separately, $2.9 billion of net fee-earning AUM came from our customized separate accounts, and, over the same period, $5 billion came from our specialized funds. Our blended fee continues to benefit from the shift of fee-earning AUM towards higher fee rate specialized funds, most notably our Evergreen products, where growth remains impressive. When we went public in 2017, our blended fee rate was 57 basis points. Today, it stands at over 60 basis points, excluding the impact from retro fees. Considering the size of the installed base, we believe this movement to be very significant. Turning to customized separate accounts. Fee earning AUM here stood at $39.8 billion and grew 8% year-over-year. We continue to see growth coming from clients across type, mandate, size and geographic location. And as we mentioned last quarter, our clients are increasingly including transaction exposure, namely secondaries and co-investments in their separate accounts. But that exposure in several instances is obtained via our specialized funds, and therefore, the AUM is captured there. For example, in our most recent secondary fund, 17% of the LPs were separate account clients, and those clients represented 29% of the capital raised, again, with all of that capital captured within specialized funds, not within SMAs. Let's move now to our specialized funds where momentum continues to be strong. At quarter end, fee-earning AUM here stood at $31.2 billion. Over the past 12 months, we achieved positive net inflows of $5 billion, representing an increase of 19% relative to the prior year period. This growth stemmed from additional closes for funds and market, robust investment activity and continued expansion of our Evergreen platform. Starting with our institutional fundraising activity during the quarter and post quarter end, and I'll begin with our sixth equity opportunities fund, which is our closed-end fund that co-invest alongside fund managers in equity transactions. As a quick reminder, our fifth Equity Opportunities Fund closed in December of 2022 at approximately $2.1 billion. Since our last update, we've held additional closes for the 6 fund that have totaled nearly $578 million of LP commitments, which brought the total raise for this fund to over $1.1 billion, which is already half the amount raised in the prior fund and again, in less than one year of being in market. Similar to its prior fund, this fund has two economic arrangements for investors where management fees are based on either committed capital with a lower carried interest rate of 10% or net invested capital with a higher carried interest rate of 12.5%. From an overall fee standpoint, the difference in management fee paid is more than offset from the higher carried interest we expect to generate over the life of the fund, assuming a similar track record for this strategy. For more context, the prior funds mix resulted in 49% of the dollars raised based on committed capital and 51% on net invested capital. Of the $578 million raised since the first close, 13% came in on committed capital and 87% on net invested. This brings the total $1.1 billion raised to date at approximately 30% uncommitted and 70% on net invested. Given that it is still relatively early days for this fund, we expect that management fees from this fund will increase as we continue to invest the fund. We've closed on a few deals so far and the pipeline of opportunities is robust. Moving now to our second infrastructure product. Quick refresher, the strategy for this product centers around direct equity and secondaries in the real assets and infrastructure space and generates management fees on a net invested basis. Our inaugural fund raised nearly $575 million of investor commitments in and alongside the fund. Through January 2025, we've now raised nearly $480 million in and alongside the fund to date, and we will look to wrap up fundraising in calendar year 2025. Coming now to our retail Evergreen funds. As of December 31, 2024, total AUM across our five existing offerings, including our newest infrastructure offerings, stood at nearly $9.5 billion, with the platform having grown nearly 66% in calendar 2024. Monthly net flows remain strong as we averaged nearly $294 million for the fourth quarter -- for the fourth calendar quarter of 2024. For calendar year 2024, when you exclude the impact from the infrastructure products, we achieved nearly $264 million of monthly net inflows versus nearly $161 million of monthly net inflows for calendar 2023. This represents nearly 65% growth in average monthly net flows for our existing three products in market, and demonstrates our ability to continue growing these platforms through strong performance and continued expansion of our distribution efforts. As this platform and the overall sector continues to mature, I think we should all expect that this won't be a simple linear growth model. Market forces, calendar seasonality, portfolio rebalancing are all in play here, causing growth to be varied month-to-month. This is no different than our institutional business, where you've heard us say over and over that management focuses on year-over-year growth and pays little attention to monthly or quarterly variability. For retail, while management is clearly watching net flows each month, our focus remains on creating a platform that is capable of creating substantial annualized growth, and that is exactly what we are doing. Again, from 2022 to 2023, total Evergreen AUM grew 76%. From 2023 to 2024, despite a substantially larger base, we grew 66%, all stemming from the combination of net new flows and performance. Now a quick update on our technology partnerships. We continue to seek out partnerships with leading technology companies who are aligned with our mission of providing individual investors with greater access to private markets. On January 14 this year, we announced a new partnership with Republic, a leading global investment platform for private market assets. Through the partnership, we intend to launch digital blockchain solutions for retail investors, featuring low investment minimums and the potential for increased liquidity compared to traditional private market funds. Republic's leading digital solution and expertise in serving this market will enable us to offer individual investors the opportunity to tap into Hamilton Lane's long-standing private markets expertise, scale and platform, and the first offering is expected sometime in the first half of this year. And with that, I'll now pass the call to Jeff, who will cover the financials.
Jeff Armbrister : Thank you, Erik, and good morning, everyone. Year-to-date, for fiscal 2025, we've achieved strong growth in our business with management and advisory fees up 18% versus the prior year period. Our specialized funds revenue increased by $50.9 million or 28% compared to the prior year period. This was driven primarily by a $3.8 billion increase to fee-earning AUM in our Evergreen platform and $2 billion raised in our latest secondary fund over the last 12 months. Retro fees for the fiscal year were $20.7 million, primarily stemming from the final close of our most recent secondary fund versus $12.8 million from that same fund that held closes in the prior year period. As a reminder, investors that come into later closes during a fundraise pay retroactive fees dating back to the fund's first close. For the remainder of fiscal year 2025, our current direct equity funding market will be the primary driver of quarterly retro fees now that our secondary fund has finished fundraising. Our latest secondary fund represented our largest institutional fundraise and thus generated the largest amount of retro fees in our history during fiscal year 2024 and the first quarter of fiscal 2025. This is expected to have some impact on the year-over-year specialized funds revenue growth comparison going forward. Moving on to customized separate accounts, revenue increased $5.4 million or 6% compared to the prior year period due to the addition of new accounts, re-ups from existing clients and continued investment activity. Revenue from our reporting, monitoring, data and analytics offerings increased by $2.9 million compared to the prior year period. Lastly, the final component of our revenue is incentive fees. Year-to-date, incentive fees totaled $129 million and are up 163% relative to the prior year period. During the quarter, we generated strong incentive fees related to our secondary funds that was the result of our portfolio management and monetizing a portion of the portfolio in the secondary market as we are both an active participant on the buy and sell side. Let's turn now to our unrealized carry balance. The balance is up 15% from the prior year period, while having recognized $181.9 million of incentive fees during the last 12 months. The unrealized carry balance now stands at approximately $1.3 billion. Moving to expenses. Total expenses year-to-date increased $67.2 million compared with the prior year period. Total compensation and benefits increased by $55.7 million relative to the prior year period, driven primarily by higher compensation associated with increased headcount, incentive fee-related compensation and equity-based compensation. G&A increased $11.6 million driven primarily by revenue-related expenses, including the third-party commissions related to our U.S. Evergreen product being offered on wirehouses that we've discussed on prior calls. And while we are seeing overall G&A expense increase with revenue-related expenses, which is a good thing and can be an indicator of growth to come, we continue to successfully offset this with cost savings and expense discipline in our other parts of the business where we have discretion. Fee-related earnings, or FRE, were up $28.5 million relative to the prior year period as a result of the management fee and fee-earning AUM growth discussed earlier. FRE margin for the quarter came in at 43%. Fiscal 2025 year-to-date FRE margin also came in at 43%. As we've mentioned on our last call, we expect an incremental increase in our equity-based compensation expense that is associated with granting of certain performance awards. The full quarterly impact of that expense is flowing through this quarter's results, and we expect that to continue through the next five years. Our philosophy of growth and profitability remains unchanged. We manage our expenses in line with overall firm growth and aim to continue investing in supporting growth initiatives while also maintaining healthy management fee profitability. I'll wrap up now with some commentary on our balance sheet. Our largest asset continues to be our investments alongside our clients in our customized separate accounts and specialized funds. Over the long term, we view these investments as an important component of our continued growth, and we'll continue to invest our balance sheet capital alongside our clients. In regard to our liabilities, we continue to be modestly levered, and we'll continue to evaluate utilizing our strong balance sheet in support of continued growth for the firm. With that, we will now open up the call for questions.
Operator: Thank you. Ladies and gentlemen we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Ken Worthington at JPMorgan. Please go ahead.
Ken Worthington : Hi, good morning. Thanks for taking the question. I wanted to dig further into the greater adoption of fund and Evergreen product by your SMA customers. So maybe first, what is driving this portion? Is it simple as product breadth or features? Or is there something else that's migrating from one structure to the other? And given the fees are generally higher on the funds and the Evergreen side, are clients willing to pay the higher price for these funds? Or are they getting sort of SMA pricing when they transition from one structure to the other?
Erik Hirsch : Thanks, Ken. It's Erik. Let me take that in pieces. I think to the first part of what's driving SMAs wanting to have some specialized fund exposure, I think that's as simple as an increased awareness of the benefits of secondaries and co-investing done well. You can see just from the fee selection on our current co-investment fund that investors are willing to pay more fee longer term in exchange for less fee early so that they have a more positive early IRR experience. And the secondary market is showing you that it's a great J-curve mitigator, it's a great diversifier, co-investment similar. Again, a huge portion of the co-investing volume that we do is coming to us fee free because we're providing a capital solution to the lead GP who's leading that transaction. So again, also a cost benefit to the customer and the diversification benefit to the customer. That's the driver. In terms of institutional adoption on Evergreen, it's early, but I think we should fully expect that we're going to see that as a tool that institutional investors will utilize over time. Some people will value the more frequent valuation dates. Some people will value the liquidity mechanisms. Some people will value the type of investing that's occurring in those vehicles. And so today, they are paying a higher rate. But I think we're all rational here, and we understand that over time, it's not likely that we're going to see no fee compression in the Evergreen space. We will. We've seen that certainly in the public equity markets, and I think ours will be no different. How quickly that occurs and what's the impact is all sort of to be determined. But the volume and simple scale of that business that's sort of -- that's sitting out there is massive. And so I think certainly from our end, we're thinking about very large scale even if that comes over time at a slightly reduced fee rate, but I think offering more choice to both the retail customer and the institutional customer is the key here. That's what's happening. And I think we'll sort of watch as this whole sector matures.
Ken Worthington : Great. Thank you very much.
Operator: The next question comes from Alex Blostein at Goldman Sachs. Please go ahead.
Alex Blostein : Hey, good morning. Thank you for taking time again. I was hoping we can dig into the wealth dynamics and the update you guys provided on Evergreen funds were really helpful. Is it possible to break down the trends that you guys have seen over the last couple of months between gross sales and gross redemptions? And then more importantly, I guess, when you think about the gross sales dynamic in the channels and in the products where you guys competing in most aggressively, how do you envision the competitive dynamic evolving? We've seen a number of other firms coming out with secondary products and then private equity dedicated product as well. So it feels like it's getting a little more crowded. I definitely understand that the TAM is large, but curious how you see that competitive set evolve?
Erik Hirsch : Sure, Alex. Erik, so happy to take that. I think there's no question that this is the area of focus for a whole multitude of firms and franchises that are all eager to launch products are launching products and so there's absolutely more choice on the shelf today. So what does that mean? I think, for us, not unexpected. I don't think it means that everyone is going to be uniformly successful. I think scale, brand, head start, technology all matter immensely. We feel good about where we are. And frankly, as we look at some of the dynamics we see going forward, we feel even better about how we're positioned for some of the inevitable changes that we see coming. I think the amount of time and effort we spent talking about tokenization and different strategic partnerships, I think, should be a sort of a foreshadowing of where we see some of the retail movement beginning to go. Our view is that retail investors are going to want sort of simple, faster, cheaper, easier, et cetera. And we think the token world blockchain really offers that. And so again, we're playing a long race here, and so there's a lot of education to be done. But we think establishing those partnerships today, locking in strategic relationships, the fact that we're already sort of nipping at a $10 billion platform puts us ahead of a whole lot of people. But it's going to be competitive. We fully expect that. We're prepared to compete. We expect to compete. But I don't think you're hearing from us or, frankly, others that are sober that this is going to be easy and that we're not -- we're all going to have to just sort of work harder. So that's what I would sort of say about that. In terms of the first part of the question, I will tell you that, for myself and management, we solely focus on net inflows. All the numbers that we reported today are net. We are -- we have seen some minor redemptions across the totality of the platform. I think that's totally to be expected. I sort of alluded to it in the call. One, you can be a victim of your own success. So if you've had really strong performance like we have for the last sort of five-plus years, clients who entered that vehicle a long time ago have now seen that value swell significantly and might want to harvest some gain, trim back exposure, rebalance. I think part of the beauty of these vehicles is it allows clients to do that. And so my point of trying to focus in on any one month or look at any single month of flow relative to performance and try to extrapolate out some big trend line, I think that's a mistake. I think people need to sort of look at this in a much wider aperture and to sort of think about what's happening at a trend line, not what's happening on month-to-month. And that's certainly how we're looking at the business and how we're managing the business.
Alex Blostein : Great. Thank you very much.
Operator: Thank you. [Operator Instructions] The next question is from Michael Cyprys at Morgan Stanley. Please go ahead.
Michael Cyprys : Hey, good morning. Thank you for taking the question. So you guys continue to put up strong growth across the Evergreen fund complex, and yet you've also been able to navigate the third-party commission expenses nicely with notable margin expansion year-on-year. So maybe you could talk a little bit about some of the steps that you're taking from an expense efficiency standpoint to be able to drive the margin expansion, absorbing the third-party commission costs there? How should we think about as well, more broadly, incremental margins on the Evergreen products? And as we think about the FRE margin profile for Hamilton Lane, how should we expect that to trend as we look out over the next year or two? Is it more continued expansion from here? Or is it should we thinking more stability?
Erik Hirsch : Mike, it's Erik. Thanks for the question. I think it's more stability. I think you sort of alluded to it. I think given the growth that we're seeing, with a lot of that growth coming from the wires and the fact that, in that first year, fund flows to us are definitely not margin accretive. The fact that we're holding margin, I think, is noteworthy. Team here has done a very, very good job on that. I think we're seeing two cost benefits. One, we've invested a lot of balance sheet capital very successfully into technology partnerships, and we're really reaping the benefit of that. So whether that's data ingestion or data management or analytic systems, tasks that would have historically been done by people, we are increasingly benefiting from those tasks being done faster, more efficiently by technology. The second thing is as the business continues to scale and mature, we're also just reexamining insurance, vendor relationships, all the things that you would expect a maturing business to look at as ways to sort of gain some cost efficiency. And again, kudos to the team for doing that and showing good financial management. And so I think the combo of that is being able and has been able to kind of offset what we've been seeing on sort of the rising commission fees.
Michael Cyprys : Thank you.
Operator: [Operator Instructions] Next question comes from Mike Brown at Wells Fargo. Please go ahead.
Mike Brown : Thank you. Wanted to just clarify your comments on the equity-based comp. Can you just maybe circle back on that and back a little bit? What's the -- what should we expect maybe for the back half of this year and then into next year in terms of growth year-over-year? And also, when we think about the shares outstanding, any view on how that could traject from here on a kind of a year-over-year basis as well? Thank you.
Jeff Armbrister : Yeah, Mike, this is Jeff. Just on the equity-based comp expense, as we've mentioned on prior calls, we expect that to be at a run rate of about $30 million per year. This quarter is the first quarter that you had that fully impacting the expense and that's about a $7 million increase in the quarter. So 7 times 4, 28, that's where we're coming up with the about $30 million per year impact on the equity-based comp.
Erik Hirsch : And just, Mike, it's Erik, as a reminder, so you've got two pieces of equity comp. You had an award to a variety of employees that was done in 2022. And then you had a more recent award done to the two co-CEOs in sort of taking over the new role. Our board set what we think is very aggressive stock targets. If you think about where the stock was for -- at the time of both of those awards, it was sort of in the sub $80 a share range. And there were three target triggers. One was at $150, one was at $190 a share, and then the last target was $230 a share. So I think significant alignment with shareholders, a big go-get for management and the team on increasing shareholder value and aligning incentives with that. So to Jeff's point, we crossed over the $150 and $190 mark this year. Again, both needed to be a kind of a 20-day volume-weighted average price. They both were and so that's there. The shares are not in employees' hands because there was also a clause that has sort of x number of years of service, which has not been met. So we continue to have a good retention tool there. And I think sort of owners of that are continuing to be very focused on that last part of the target, which was the $230 a share.
Mike Brown : Erik, can you just maybe clarify on the incremental equity-based comp? Is that an incremental $30 million to kind of where you were running at? Or is that kind of an all-in number?
Erik Hirsch : Well, I think what Jeff said was, you've seen the full amount in one quarter. And so that -- the amount that you saw in this current quarter will be similar to what you will see in future quarters for the next five years.
Mike Brown : Okay. Thank you for that. Is there ever any discussion internally about perhaps changing the way that you show your equity base comp in your adjusted financials and a number of your peers with actually kind of exclude that now? And also investors of course, or kind of added back or kind of look at it under both lenses, but is that something you guys ever talk about internally so that you might consider?
Erik Hirsch : I think we’re certainly open to it. This is again new for us having just kind of crossed over this quarter and are beginning to deal with that. So we would certainly welcome feedback on what we think analysts and shareholders find to be most beneficial and helpful.
Mike Brown : Okay, great. Thank you.
Operator: Thank you. The next question comes from Aidan Hall at KBW. Please go ahead.
Aidan Hall : Great. Thanks for taking my question. Maybe just on the base comp, excluding the equity-based comp and kind of the incentive fee-related compensation. Did see a step down there, and nice kind of defending the margin with the ramp in the equity-based comp. And I heard your comments about just like utilizing technology to kind of change some of the historically manual tasks at the firm, but is this level of like that base comp, the right way to think about kind of run rate from here? Are there like changes that you guys have implemented more recently to kind of see those changes? Or is that not a fair extrapolation over quarter-over-quarter?
Erik Hirsch : Sure. It's Erik. I think there's a couple of pieces here. I think we have been certainly focused on margin protection. We had the benefit this year of -- obviously, from an employee standpoint, there's been more incentive comp flowing through the business. Obviously, the equity incentive piece of sort of reaching those targets. So I think, as management, we're thinking about comp in a multi-lever perspective and looking at sort of pulling different levers at different times to make sure that we're achieving the end result, which is having happy and retained employees. And so it's -- we have the luxury of having multiple levers in our hands that we can adjust to sort of achieve that ultimate goal. So I wouldn't necessarily extrapolate all of this out, with the exception of the carried interest portion of the comp. That sort of flow-through of basically seeing about 48% or so of that flowing to employees. That ratio has stayed static for years and years and years. So that part, you can extrapolate. Our decision around what we do with the bonus pool can vary year-to-year. And so that one is not one that I would say, well, now I have some sort of a formula. I think what you can look at is the total comp ratio that has remained very, very steady frankly, since we've been public and if you had looked back years prior to that as well.
Aidan Hall : Appreciate the thoughts.
Operator: The next question is a follow-up from Alex Blostein at Goldman Sachs. Please go ahead.
Alex Blostein : Hi, thanks for taking the follow up. Erik, you actually kind of answered the second part of my question. But I guess what I'm trying to get to is, compensation is ultimately fungible across all of these firms you guys included and people play around with geography, however they do it. But when I think about what you're ultimately trying to manage the business to, is it fair to think about like kind of total operating income margin as opposed to FRE margin, especially given this dynamic with equity-based comp, and in quarters and years where you're going to have a lot of incentive compensation that could sort of subsidize some of the FR ecom. But at the end of the day, it's the total operating income margin that we should be thinking about? And if that's the case, should we be thinking about stability in that margin as well? Or is there room for total operating income margin to improve?
Erik Hirsch : So thanks for the follow-up, Alex, it's Erik, still. I think that is the right way to think about it in terms of also sort of stability in the operating margin. But I think if I sort of think about margin from whether it's FRE or operating margin over a longer time period, I certainly see levers for us to pull to continue to have some amount of margin expansion. I mean we have had that since going public. And I don't think that big picture, longer-term macro dynamic is changing. I think today, we're kind of in the eye of a bit of a storm here where certainly meaningful for us increase in equity-based comp and expense around the commissions and so the business sort of, I'll use kind of air quotes and say kind of weathering that with a stable margin, I think, goes back to good job by management to continue to sort of push through all of that. But that dynamic will change over time. The amount of flows that are coming from the wire relative to the installed base will not be as dramatic as it is here in the earlier years of being on those platforms. So the commission impact for the totality of the business will reduce over time. We're still in kind of the very early innings of this. Now by the way, if it didn't reduce over time, that would be a great thing as well. But I think as we just get bigger, bigger, bigger, I think that's probably unrealistic. But again, that's a first-class problem. And the equity comp impact is not a forever issue. And so again, we're sort of sitting here with a moment in time of dealing with both of those simultaneously.
Alex Blostein : That’s prefect. Thank you.
Operator: There are no further questions. I will turn the call back over to Erik Hirsch for closing comments.
Erik Hirsch : I'll reiterate. We thought a terrific quarter. Juan and I are extremely proud of the firm for the hard work, the effort. And I go back to where I started, culture matters. We think what we're building here is special. When I look at the number of people applying for open positions, it's never been higher than it is today. People want to be part of this team. We're thrilled with that. We think what we have in front of us is exciting, a lot of growth opportunity. We appreciate your time. We appreciate the support, and thanks for the call today.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating, and we ask that you please disconnect your lines. Goodbye.